Operator: Good afternoon, and welcome to the Fluor Corporation's third quarter 2009 conference call. Today's call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's presentation. A replay of today's conference call will be available at approximately 8:30 P.M. Eastern time today accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 8:30 P.M. Eastern time on November 15 at the following telephone number: 888-203-1112. The passcode of 246-5414 will be required. At this time, for opening remarks, I'd like to turn the call over to Ken Lockwood , Vice President of Investor Relations. Please go ahead, Mr. Lockwood.
Ken Lockwood: Thank you, Operator. Welcome everyone to Fluor's third quarter conference call. With us today, are Alan Boeckmann, Fluor's chairman and CEO and Michael Steuert, Fluor's Chief Financial Officer. Our earnings announcement and our 10-Q were released this afternoon after the market closed. We have posted a slide presentation on our website which we will reference while making our prepared remarks today. Before getting started, I would like to refer to you our Safe Harbor note regarding forward-looking statements, which is summarized on slide two of the slide deck. During today's call, and slide presentation, we will be making forward-looking statements which reflect our current analysis of existing trends and information, and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in our 10-K, which was filed on February 25 of 2009. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are also posted on our website at investor.fluor.com. Now with that I will turn the call over to Alan Boeckmann, Fluor's chairman and CEO.
Alan Boeckmann: Thank you, Ken. Good afternoon, everybody and thank you for joining us. Today, we will be reviewing our financial results for the third quarter. We will talk about our outlook for each business line and then we're going to discuss our initial EPS guidance for 2010. If you will turn to slide three, I'd like to provide some highlights of our financial performance in the third quarter. While our financial results were off a bit, when compared to our record year of 2008, we continue to deliver very strong results in a challenging economy. Revenue declined by 4% to $5.4 billion, and that compares with $5.7 billion in the third quarter of 2008. This change was driven primarily by decreases in the Oil & Gas and Power segments. Revenue in both, the Industrial & Infrastructure, and Government segments was up from last year. Segment profit for the quarter declined 8% to $300 million compared to $324 million a year ago. This reflected lower profit contributions from the Oil & Gas segment, and a $45 million charge in Global Services relating to a collection issue on a completed papermill revamp project. Mike will provide some more detail on this issue in a few minutes. Consolidated segment margins in the quarter were a very solid 5.5% even after the impact of the charge, and this compares to 5.7% in the third quarter of 2008. Net earnings attributable to Fluor, for the third quarter were $162 million. This is a decrease of 11% from a year ago. Earnings per diluted share were $0.89 compared with $1 per diluted share for the same period last year. Moving to slide four, new project awards for the quarter were $2.9 billion. This compares to our record $8.8 billion a year ago and $6.8 billion last quarter. I would like to point out that this is another example of how lumpy new awards can be from quarter to quarter. Major awards during this quarter included approximately $400 million related to our ongoing work at Savannah River. It was also a full EPCM scope on an underground gas storage project in the Netherlands and a mining construction award in Chile. Given that there were no elephants in the quarter and this is the first time in 10 quarters that we haven't had a billion dollar award in our new bookings, we do think that $2.9 billion in bookings was very respectable. Consolidated backlog at the end of the third quarter was $28 billion. This represents a $2.9 billion increase from the last quarter and a 23% decrease from a year ago. During the quarter, we removed approximately $1.2 billion from backlog for gas processing expansion project in Russia, which has been delayed indefinitely by the client. Including this project, the cancellations and scope reductions for this year now stand at accumulative $5.3 billion. With regard to our markets and our prospects, as we look out through 2009 and into 2010, global demand for energy, goods and services continues to be weak. However, with regard to new opportunities going forward, we are seeing a fairly significant level of new FEED and study work, which bodes well for new EPC prospects. In fact, many of the prospects we're tracking are in fact elephant projects which have the potential to close during 2010. Let's talk a little about the markets in each of our segments. I will start with our largest market, Oil & Gas. As you can see on slide five, revenue and segment profit for Oil & Gas declined during the quarter. This is a continuation of a trend that began at year end as new award and backlog levels have come down from their peak in the wake of several cancellations. In downstream, we continue to work on a number of refinery expansion and upgrade projects here in the U.S. and we see future opportunities abroad, primarily in Europe, Mexico, Middle East and Asia. In Petrochemicals, even though there is a surplus of production capacity on the market right now, we have some significant target prospects in China and the Middle East, which could be awarded during 2010. On the upstream side, as we expected, client budgets have indeed shifted toward this area with an expansion of Oil& Gas production. Upstream projects tend to be larger and more complex than most downstream projects and they often require skilled FEED and program managers. These are two areas where we clearly excel, and we also have extensive experience in the Middle East, in Russia and Canada, where these investments are expected. During the quarter, the Sibur Gas Processing project was in fact removed from backlog. This project has not been formally canceled, but it has been delayed indefinitely, so we have taken it out to be conservative. Should it come back in the future, we stand ready to assist the client. Moving now to Power on slide six. Our outlook for this market continues to be cautious. Since demand has not yet returned and future expansion will be heavily driven by new government regulations and environmental policy. While the group has enjoyed a fairly stable backlog for the year, revenue has declined as the overall project progresses towards successful completion. Given the breadth of Fluor's power experience, all the way from solid fuel to gas fired to nuclear and renewable solutions, we feel that we are extremely well positioned to capture significant market share as demand returns. To that point, a bright spot has been the success of the Nuclear business line, which received additional work related to a capital upgrade project at the Oconee Nuclear Station for Duke Energy and continuing incremental awards for the preliminary engineering on the South Texas project for Toshiba and NRG. From a renewable energy perspective, we continue to execute a number of front-end programs CO2capture and sequestration, and we have also received a number of front-end awards on the solar side, including both large-scale photovoltaic and thermal solutions. In Industrial & Infrastructure, backlog grew again this quarter with the award of a copper-gold mining project in South America. Our group here has done a remarkable job in capturing large mining awards over the past few years, and this should continue to be an area of strength for us, with some very large prospects in 2010. On the Infrastructure side, we continue to focus on select road and rail opportunities in the U.S. and Europe. These projects typically have a public-private partnership structure which complements our project management and our development skill set. Funding for these projects continues to be a challenge, and it has caused some schedules to be pushed back. During the third quarter, we were selected as the best-value contractor for a road project in North Texas. We expect details of this to be finalized and we'll book this into our backlog in the fourth quarter. I am also very pleased to report that during the third quarter, the company successfully resolved the dispute on the London Connect project, relating to claims against the client for delays and additional costs. As you may recall, we had previously recognized approximately $100 million of claim revenue on this project. This settlement allows for the final closeout of all outstanding issues, with no material impact on the segments profit. I'd also like to call your attention to a newly established claim, on the Greater Gabbard Offshore Wind Farm project in the United Kingdom. Over the last couple of months, the company has become involved in a dispute on this $1.5 billion lump sum project. The dispute relates to the specifications of the monopiles and the transition pieces on the towers required by the contract. As a result, the project has incurred higher costs and installation delays which we do not believe are our responsibility. In the third quarter of 2009, the company recorded $115 million of claim revenue related to this issue. Moving to the Government segment on slide seven, this group is having a very strong year. During the quarter, the group recorded over $800 million in new awards including Savannah River for the Department of Energy, and LOGCAP IV task orders for the army. On LOGCAP IV, we are still awaiting however for the go ahead to begin the process of transitioning into sites on North Afghanistan, under Task Order 5. New awards in this area will be recognized as the specific task orders are incrementally funded, and we are released to start work. Finally, our Global Services segment continues to be impacted by client deferrals of discretionary spending and maintenance activities. We continue, however, to maintain a presence on nearly 300 sites and remain optimistic that normal spending levels will return sometime in 2010. Turning now to the subject of our second press release issued this afternoon. I am extremely pleased to announce that David Seaton has been elected by our Board of Directors to the newly created position of Chief Operating Officer. As we have said, this move is part of our ongoing strategy to position and utilize our senior-most executives in roles where they can most effectively enhance our client engagement and continue to focus on operational excellence. As many of you well know, David has been with Fluor for nearly 25 years and over that time has demonstrated consistently the ability to grow businesses, effectively address operational matters and achieve organizational efficiencies through cost improvement and improvement strategies. I have worked closely with David for quite some time and have every confidence in his leadership and business skills. His agenda will focus on the key areas that I just referenced. All five of our business groups will report to him along with our recently formed Project Operations unit and our Sales and Business Development functional units. With that, let me turn the call over to Mike Steuert for a discussion of our financial items.
Mike Steuert: Thank you, Alan, and good afternoon. First, let me provide you with a brief recap of the results for each operating segment. Please turn to slide eight of the presentation. Fluor's Oil & Gas segment reported third quarter revenue of $2.9 billion, down 11% from the third quarter of 2008. Segment operating costs have declined 8% to $189 million. New awards in the quarter totaled $1.2 billion, which includes a medium-sized project, underground gas storage in the Netherlands. Ending backlog at September 30, Oil & Gas was $13.1 billion, down 43% from a year-ago. This decline is a result of substantial progress on existing projects, as well as lower new award levels and the impact of approximately $5 billion in project cancellation, scope reductions and indefinite delays since the beginning of the year. Now, please turn to slide nine. Fluor's Industrial & Infrastructure segment reported revenue of $1.1 billion in the quarter, up 26% over last year. Segment profit for the third quarter was $42 million, up 49% from a year-ago. You may recall that segment profit in the third quarter of 2008 included the impact of a $16 billion provision, related to the London Connect infrastructure project. As Alan pointed out in his comments, with respect to the London Connect project, we were able to successfully resolve this dispute within the claim position that we had established. Alan also mentioned the emerging dispute on the Greater Gabbard project, and I would just add that as the project progresses, our claim position is expected to grow fairly significantly over time. While the company believes that the ultimate recovery of these costs is probable, I also want to reiterate that we do not expect to recognize any future profit on this project until this dispute is resolved. Obviously, this will continue to impact our margins in future periods. Industrial & Infrastructure new awards for the quarter were $494 million, and ending backlog was up 14% from a year-ago to $9.7 billion. Revenue for the Government segment was $544 million for the quarter, up 47% from a year-ago. Segment profit rose 34% to $24 million, compared with $18 million a year-ago. Third quarter new awards totaled $872 million, including approximately $400 million for the annual booking of the Savannah River contract and approximately $160 million for LOGCAP IV task orders. We have booked very little to-date on LOGCAP IV task order 5 for North Afghanistan, but these awards are still expected to come in the future. Ending backlog grew to $1.3 billion compared with $886 million a year-ago. Moving on to slide 10. The Global Services segment reported an 11% decline in revenue, to $529 million in the third quarter. Segment profit for the quarter was just $500,000 compared to $49 million a year-ago. The segment results were adversely impacted by the $45 million provision taken during the quarter for a collection issue on a completed paper mill revamp in the Louisiana. New awards for Global Services segment for the quarter were $183 million bringing backlog to $2.4 billion. Fluor's Power segment reported revenue of $317 million, down 40% from the third quarter of 2008. Segment profit of $45 million was driven by substantial progress on backlog projects. The Power segment new awards were $152 million, bringing ending backlog to $1.5 billion, which is about flat with a year-ago. Finally, looking at the overall company, after accounting for revenue burn and recent cancellations, the consolidated ending backlog at the third quarter was $28 billion. Percentage of fixed price work in backlog is now 21%, and from a geographical perspective, 39% of total backlog is in the U.S. and 61% is for projects outside of the U.S. Now, moving on to corporate items on slide 11. Corporate G&A expense for the quarter was $50 million, up from $45 million reported a year-ago. The increase was primarily due to foreign currency losses for the quarter, offset somewhat by overhead reductions. For the full year, we expect corporate G&A expense to be in the range of $180 million to $190 million. Net interest income for the quarter was $3 million compared with net interest income of $15 million a year-ago. The decrease in interest income reflects markedly lower returns, partially offset by higher cash balances. The effect of tax rate for the third quarter was 35%, below the 37% rate we experienced last year. The lower effective tax rate was primarily attributable to the recognition of a deferred tax benefit associated with taxes and unremitted foreign earnings and increase in foreign earnings attributable to non-controlling interests for which no taxes were paid by the company. Shifting to the balance sheet. Cash, plus current and non-current marketable securities totaled $2.4 billion at the end of September. This is an increase from $2.3 billion in the last quarter and $2.2 billion a year-ago. During the quarter, we repurchased 1 million shares of the Company's stock for $53 million. This brings our year-to-date repurchases to 2.8 million shares for a total of $114 million. Fluor's return on equity remains very strong at 25%. Capital expenditures for the quarter were $54 million, bringing total year-to-date CapEx to just under $175 million. We expect CapEx for the year to be approximately $260 million. The Fluor's Board of Directors approved our normal quarterly dividend of $0.125 per share payable on January 5, 2010. Moving on, let's talk about our guidance for 2009 and our initial guidance for 2010, which is shown on slide 12. Due to the collection issue on the papermill project, we are trimming our 2009 guidance to a range of $2.75 to $3.90 per share. Looking ahead to 2010, we remain optimistic that the general economy and capital investment levels will recover. However, the outlook for many of our markets remains uncertain at this time. Therefore, at this early stage, we are establishing an initial 2010 earnings guidance in the range of $3.20 to $3.60 per share. With that, Alan and I will be happy to respond to questions.
Operator: (Operator Instructions). We'll go first to Jamie Cook with Credit Suisse.
Jamie Cook - Credit Suisse: You guys talked about the Greater Gabbard project, I'm wondering how much revenue you have left to burn through on that project and how much of that's impacting your EPS in 2010?
Alan Boeckmann: Significant.
Jamie Cook - Credit Suisse: If it's running through a certain amount at zero margin?
Alan Boeckmann: I would say from a revenue standpoint, we're probably midway, maybe just a little past midway.
Jamie Cook - Credit Suisse: When do you expect to be complete?
Alan Boeckmann: It is a stage project, in several stages. I would say our first completion is probably towards the end of 2010.
Jamie Cook - Credit Suisse: Michael, I need to ask about the guidance for 2010. I am just trying to get a sense for when we look at the midpoint, I think your earnings down about 11%. How much of that is driven by slower burn rate versus, how should we think about margin pressure?
Mike Steuert: I think our margins have held up pretty well in this timeframe. The key to 2010, clearly is the pace of bookings in the quarter. I made the comment that this is the first quarter in ten quarters we haven't had an elephant or a $1 billion project. It is a very lumpy business as I've said before. Most of the people in the office here were wondering how many times I would say the word lumpy today on the call. There is a pool started, but last quarter at $6.7 billion or $6.8 billion of new awards, we had a number of projects. In fact, the largest one came in the last week and-a-half of that quarter. Otherwise it would have been in Q3, so it just points to how uneven it is. We're tracking quite a number of fairly large projects that will all hopefully materialize in 2010, so it is the pace of orders that will determine that, Jamie.
Jamie Cook - Credit Suisse: Obviously, everyone will probably overreact to your orders in the quarter. You mentioned you're tracking a number of elephants in 2010, you mentioned you're tracking some on the upstream, which tend to be larger and more complex. Are the elephants you're tracking for 2010 greater than what we saw for 2009 and this year it was front-end loaded. When we think about next year, is it evenly distributed? Is it backend loaded or is it too early to make that call?
Alan Boeckmann: I think it is fairly, evenly distributed and the better news is, it's distributed across business groups as well.
Jamie Cook - Credit Suisse: Are the size of elephants bigger or comparable?
Alan Boeckmann: I think they are comparable. Actually, honestly, there is probably a few more of them than there were this time last year but there is more uncertainty at the same time, so timing and the going forward signal from clients, we just want something we're going to keep watching on.
Operator: Our next questions comes from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson: In terms of the elephants that you're looking at for 2010 and you said they are spread out across a lot of different end markets. The people are waiting to get a better sense of economic activity or their own profitability, or is it a sense that they are waiting for financing? I'm trying to figure out what the biggest things are?
Alan Boeckmann: The ones we're looking at that are our primary prospects, I don't really have a lot of doubt that they are going forward. I think there's a fair amount of confidence in those. It's a matter of whether it's a first quarter or second quarter, that's the timing that I am talking about. Now there are a couple out there, that are lower on our radar screen that do have more uncertainty around them. It is quite a wide range of projects.
John Rogers - D.A. Davidson: At this point, I realize this cannot change, but you expect backlog to build through the year?
Alan Boeckmann: I don't know that it would build. We are going to have a fairly heavy revenue year in 2010. It will be fairly comparable to this year in terms of revenue. I don't know that we will build, but I don't know think we will lose much if any.
John Rogers - D.A. Davidson: In terms of your cash position at the end of the quarter, could you guys talk a little bit about in terms of your priorities here, it's going to be so pretty big number and years ago you had talked about it, if you ever got to that level, you might look at some other things and kind of what your thoughts are there now.
Mike Steuert: Our cash at the end of the quarter was $2.4 billion. Today, it happens to be $2.5 billion. We've had some cash inflows since we closed the quarter. Our priorities remain that we do pay a healthy dividend and will continue to pay a healthy dividend. We have been looking and have been buying back shares as I indicated. Our strategy in terms of share repurchases, the offset share creep and be opportunistic. I'd expect that would continue as we go forward. As we said before, we also have a highest priority, to make very accretive acquisitions for the company in terms of our investment strategy and we'll continue to focus on acquisitions as we move forward. We have been very selective, we haven't really made anything in the recent past, but we continue to view acquisitions very favorably as a key strategy for the company and are very interested in making those that meet our criteria.
John Rogers - D.A. Davidson: You sense there's more opportunities out there now?
Mike Steuert: There have been a fair amount of opportunities that we continue to look at and there is a fair amount of opportunities that present themselves for us going forward.
Alan Boeckmann: Particularly in smaller niche areas, we have found some good opportunities.
Mike Steuert: We've had a fairly healthy buildup of advances from clients and given where we are in the cycle we do expect that our cash position could decrease somewhat through early part of 2010, actually burning through some of those advances and complete some projects.
Operator: Our next question comes from Barry Bannister with Stifel Nicolaus.
Barry Bannister - Stifel Nicolaus : About two or three quarters ago, we had discussed how in the third quarter, you might enjoy a nice bonus for completion of a large coal-fired power plant in Texas. It does look like the margin in power was very, very good. Could you just put round numbers on the quantification of what that bonus was in the quarter, which caused that unusually great margin?
Mike Steuert: No, we won't quote numbers, but we did recognize some of that in the quarter.
Barry Bannister - Stifel Nicolaus : Is the margin in the mid-teens, something that we can expect for the balance of the year in the Power segment? How unusual was it this quarter in terms of the great performance in that segment?
Alan Boeckmann: That project is a two-phase project. We just completed Phase one. There is a Second phase that occurs in the first quarter of 2010.
Barry Bannister - Stifel Nicolaus : Sugar Land had a staff cut of about 15% a month ago. There is the Russian cancellation and then there were some Iberian refinery that was never really explained, that was ostensibly cut. Did you move work to other offices in Oil & Gas or was that a sign of just the reduction of work in the segment?
Alan Boeckmann: Now the Sibur project really didn't have a big impact there, that project was taken on a back, but we had some very small amount of support for the client there, when that one was inflating definitely. On the other project that you mentioned, there was a reduction of scope in that project that we responded to, but that project itself is still going quite well and going very strong. In fact, I will be there a week after next. It was more a timing issue of coming down on some of the engineering work as we're transitioning into construction for the projects that were located in that office.
Barry Bannister - Stifel Nicolaus : You've done a great job managing this downturn I would say, knowing Fluor's past cycles, comparing this cycle, you've done a great job of maintaining the profit levels. So, congratulations.
Operator: We will go next to Andrew Kaplowitz with Barclays Capital.
Andrew Kaplowitz - Barclays Capital: So, kind of alluding to what Barry was just saying, obviously very strong margins in Oil & Gas this quarter, and they have been picking up while a lot of people thought they would tick down. So, just kind of thinking about the sustainability of margins going forward and maybe stepping back and thinking about the overall pricing environment, we've talked a lot on these calls about competition but at least it is not manifesting itself so far in these margins.
Alan Boeckmann: As we said, we entered 2009 with a very strong backlog in that area, and even though we've seen some cancellations, the bulk of our projects have gone forward, and we had enjoyed some good pricing capability as we booked those. I think the new awards going forward probably won't be at quite the same level, but I don't think we're seeing a significant drop off because the projects we have here are continuing forward and we're continuing to recognize revenue against them.
Andrew Kaplowitz - Barclays Capital: Maybe if I could ask a question of your perspective. What I am trying to figure out is, when I look at your new awards in the quarter, I would say now versus a year-and-a-half ago at the height of the oil and gas boom, what we hear is that procurement costs for instance have gone down dramatically. Some of your peers give out things like scope, new awards. What I am trying to figure out is, how much of a difference is it making in your new awards now versus, let's say, two years ago in the value of the work. You understand what I'm saying?
Alan Boeckmann: Yeah, it is a very good question. I think the backlog run-up that a number of us had definitely had a factor in there for the escalation that was occurring during 2007 and primarily the first half of 2008. An opposite effect of that is occurring right now. We've advised a number of our clients that now is probably the best time for them to truly go forward with their capital spending. The procurement of manufacturing equipment is probably as low as it is going to be going forward. There has been a real leveling off of labor rates. So, we've definitely noticed a difference. We've modified a number of our estimates downward based on the expected capital costs.
Andrew Kaplowitz - Barclays Capital: Does that mean, Alan, that maybe the same project two years ago would be, I don't know, 20% more expensive that it is today and that's the difference in your new awards now versus two years ago?
Alan Boeckmann: I don't know if it's been that dramatic when you compare against all of the cost factors in the projects, but it has definitely come down. We saw a run-up I think from late '05 to mid '08 of almost 40% in some commodity areas. So, it has come down, but I would say the number is more like 10% to 15% just in general terms.
Andrew Kaplowitz - Barclays Capital: The mining projects, you've booked a smaller one in the quarter but it seems like if you look at the big mining companies they are getting more positive about the sustainability of the recovery, is that what they are sort of communicating to you? Do you see a lot of these big elephants starting to move forward even as they go into 2010?
Alan Boeckmann: Absolutely we do. I think the mining companies are. In fact, there is an article in the Wall Street Journal by BHP Billiton, CEO talking about the view of the forward market. These companies are all fairly strong now from a balance sheet standpoint. They have got great reserves and they see a growing market and demand in their areas coming up. So, I think that's going to be major market for us and continue to be major market.
Operator: We'll go next to Richard Paget with Morgan Joseph.
Richard Paget - Morgan Joseph: I'm wondering if you could talk a little bit about the Government Services segment. If we look at the operating margin compared to the first half of the year, it was down a little bit, but relative to what it was last year, it was relatively in line. Does that have to do with some of your bigger programs ramping up with task orders or is this how we should look at the profitability of these new projects going forward?
Alan Boeckmann: There is a number of variables in there. I would say and I'll ask Mike to comment as well; the completion of task orders, we usually get grades on that and we didn't really complete a lot of task orders in this last quarter. We're waiting in fact for a release of a number of them on the Afghanistan front. Mike, would you like to comment?
Mike Steuert: That's correct. Unlike the last two quarters where we had some positive adjustments, we did not receive any significant award fees in this quarter.
Alan Boeckmann: We had a reversal of a reserve we taken last quarter that's contributed to that.
Richard Paget - Morgan Joseph: How should we think about the backlog in that segment building? Is it going to primarily be task orders of existing programs getting stripped in or are there still some large federal programs out there that you guys are bidding on right now?
Alan Boeckmann: There are some that we're bidding on. The federal programs particularly in the Department of Energy, we really only book those once a year in our third quarter as we did in this third quarter for our Savannah River project. The Afghanistan, the LOGCAP and the contingency-operations piece is booked as released and typically gets burned off a lot of that in the same quarter. So, it doesn't really have a backlog trend that you could look at and make comparisons on.
Richard Paget - Morgan Joseph: Then in then in terms of the large project or large programs you guys are bidding on, any you care to comment specifically on?
Alan Boeckmann: We are pursuing a couple of them that probably won't get decided. One may occur in Q4 but I think it's more a Q1 event, and another one that will happen later on in 2010.
Richard Paget - Morgan Joseph: Then just expanding on John's earlier question with the acquisition market, it seems there are a lot of strong balance sheets out there. Growth has been relatively constrained given the market. Why do you think there hasn't been more M&A activity just given that at least the strategic buyers have a lot of cash out there?
Alan Boeckmann: If you're talking publicly traded companies, even small one's, it's interesting to watch the dynamics. Most companies think the fair price is their 52-week high which almost always through this part of 2009 has been 52 weeks ago. So, I think it is just matter of expectations that needed to be reset. That's been the primary stumbling block that we have seen.
Richard Paget - Morgan Joseph: I guess given this point where, I mean, if those expectations aren't coming down, the LTM EBITDA run rates will be?
Alan Boeckmann: I think they are starting to and I think you're going to see more action as a result of that.
Operator: We will go next to Alex Rygiel with FBR Capital Markets.
Alex Rygiel - FBR Capital Markets: Two questions. First, you referenced solar and some opportunities developing there, can you try to give us some guidance as to the magnitude of the new awards that could be coming down the path on the solar side?
Alan Boeckmann: So far we've have just gotten front end work. I would hope that those turn into awards in the 2010 period, but it will probably be mid-to-late 2010 before they get really funded. There's still I think some regulation issues that will probably have to be answered before they really truly go forward. Size-wise, it is a fairly big range. Typically the capital costs on this is primarily the equipment, more so than the engineering or the construction, so they are not going to rival a coal-fired power plant or even a very large gas-fired power plant, but if we get a string of them I think it could be a good business line.
Alex Rygiel - FBR Capital Markets: Quickly, could you comment or try to quantify these value of stimulus dollars that could be in your backlog right now and then also talk a little bit about the energy bill and the need for an energy bill to be passed in order to jumpstart some of your year-end markets?
Alan Boeckmann: Really the only stimulus funding that we have seen directly has been the award that we got at Savannah River for some nuclear soil remediation. I would say we are less than $0.5 billion.
Alex Rygiel - FBR Capital Markets: Then the energy bill?
Alan Boeckmann: The energy bill is obviously controversial, but even if you're for it or against it, if it does get passed, there starts to be some certainty in the market, so I think to the extent that you foresee it being passed, I think it will help. If it just sits there and there is a lot of debate and delay, and there is no action taken, but it's still pending, I think it will continue to cause uncertainty and anxiety in the market.
Operator: We'll go next to Will Gabrielski with Broadpoint AmTech.
Will Gabrielski - Broadpoint AmTech: A couple of questions. Can you walk through in detail, I know you guys go through a pretty thorough guidance process. How much of book burn government work does Fluor feel comfortable putting in as guidance next year, then also on the services side, clearly industrial production is ticking up in a lot of regions, and-that revenue number is still pretty low. What do you think the odds of a recovery are there for 2010 and how aggressive or non-aggressive were you in terms of 2010 guidance.
Alan Boeckmann: Well, on the government side, we have got a fairly stable workload in the Savannah River project. We have got a fairly stable and reliable workload on the stimulation award that we've received there, ongoing work at Hanford. So that side of the equation, we get a pretty good view on. It's the contingency operations that it's hard to say, the ID/IQ and how much is going to get released. So, I would say we take a fairly conservative view on that simply because of the uncertainty of it. In the services part of our business, we have seen dramatic cutbacks in maintenance spending at all the sites that we're resident on over this last year. Most companies start-in in January and obviously Fluor was no exception. I think every company in the U.S. and globally, looked at overheads and what they could trim out of discretionary capital and that hit us in that area. I don't think that's going to pick up until sometime in 2010. We're hoping it is earlier. We have taken, again a fairly conservative look at that thinking that's probably more a second or third quarter event.
Will Gabrielski - Broadpoint AmTech: Any potential impact from the Gabbard dispute related to any of your other offshore wind projects that you are potentially bidding on?
Alan Boeckmann: No, I don't think so. I think the project itself is going very well in terms of the work that is going forward and, we're working on the front-end of the other projects. There doesn't seem to be any impact on that. In fact, we're the developer on those projects.
Will Gabrielski - Broadpoint AmTech: Question on Abu Dhabi. You guys were excited about the opportunity and then Habshan 5 came along and clearly the bid came in well below what you were expecting and I know you did the feed on the (inaudible) project. There's been some awards over the past week announced for that project on the refinery, can you provide any color? Did you bid there, if not are you seeing that competitive landscape stay as aggressive as maybe you saw in Habshan 5 or is that getting a little better and how is that impacting your view of certain projects and how did that impact your awards really and your expectations for the second half of '09?
Alan Boeckmann: The Habshan project was one of the first megaprojects bid in a very long time in the Middle East. It didn't have a program manager and the results of the contest are such that we are pretty convinced they are going to need one. We're staying away from what I would call true long-slate bidding opportunities in those areas. We're going to continue to focus on being a program project manager and then providing services for the integration and the overall site management, so that's our strategy. That's a strategy we have used for quite some time, it's been very successful. So we're very selective in these areas where we see lump sum bidding with multiple bidders on the bid list.
Will Gabrielski - Broadpoint AmTech: A few of these mega projects now being dominated by Asia based E&Cs do not have a program manager. When you are in conversations with clients, how do they feel about that and is there an opportunity on maybe certain of these projects for a program manager to be brought in?
Alan Boeckmann: Yes. There is.
Operator: We will go next to Graham Mattison with Lazard Capital Markets
Graham Mattison - Lazard Capital Markets: Would you just comment on the outlook for offshore business, in terms of what you're seeing there and any update on your partnership with Global Industries?
Alan Boeckmann: Absolutely, we're seeing a significant increase in the offshore and onshore upstream business. I would characterize it more as just total upstream. The client's capital programs have definitely shifted away from the downstream, where it had been over the last couple of years and so, the prospects out there reflect that. We are pursuing several opportunities right now with Global Industries. It's too early to give any results on those, but we're confident we have a good team with them and we expect that to be successful.
Graham Mattison - Lazard Capital Markets: In terms of the acquisition potential out there, is this an area where you might be looking to potentially add a company?
Alan Boeckmann: The strategic focus of the company is looking at potential acquisitions in several areas. This is one of them without a doubt, as is the infrastructure side of our business, probably the two highest priorities in those areas.
Operator: We will go next to Michael Dudas with Jefferies.
Michael Dudas - Jefferies & Co: Alan, could you make a comment further on David's opportunity as COO and what you're expecting from him and also would you anticipate some changes in structure reporting, going forward as you move into 2010?
Alan Boeckmann: We have made the change obviously effective today. He reports directly to me and all of the P&L units now report directly into David. So, he has management oversight responsibility for all of the P&L units in our business. That move was made to get even a stronger focus on the forward market and to provide even more focus on our execution. Primarily, it was an offensive move to go after prospects that we have on our slate. David's got a great reputation and an outstanding list of client relations that I think will serve us very well there.
Operator: (Operator Instructions). We will go next to [Steven Fisher] with UBS.
Unidentified Analyst: On the Greater Gabbard, wondering when could you resolve those issues?
Alan Boeckmann: Honestly, that is hard to say. The contract calls for a process of adjudication that involves binding arbitration. That is in the UK, under UK law. As we stated also, we've just resolved the London Connect project, that arbitration has been going on for several years. We'd like to try and see if we could get into expedited arbitration, but if it stays in the normal course, it could be quite some time.
Unidentified Analyst: Just to confirm the answer to Jamie's question, you don't have any profits assumed for that in 2010 guidance.
Alan Boeckmann: That's correct.
Mike Steuert: No, we do not.
Unidentified Analyst: You just reserved for it, but what are the prospects for recovering the papermill?
Alan Boeckmann: Not good, that's why we reserved for it. We thought we had a possibility we would have looked at what we might have been able to put on our 81-1 accounting, but we don't believe we have a good position there.
Unidentified Analyst: How robust are the opportunities in infrastructure? I would think there would be many projects out there looking for a private investment. In North Carolina, there was one opportunity that was just announced.
Alan Boeckmann: Actually, we see a fair number of infrastructure opportunities into 2010. We could have as many as two bookings in our fourth quarter for infrastructure. That's a very good business for us. It's one we want to continue to grow.
Operator: We'll go next to Joe Ritchie with Goldman Sachs.
Joe Ritchie - Goldman Sachs: On the large projects that you mentioned, Alan, you expect to see some of the large projects being booked in the early part of 2010, and then maybe towards the latter part of 2010, are there any billion-plus dollar projects that you could foresee booking ahead of that schedule?
Alan Boeckmann: I would like to see something accelerate, but right now it looks like the really big ones are starting in the first quarter of 2010.
Joe Ritchie - Goldman Sachs: As you kind of look through the different end markets that you play in, it sounds like the mining sector you're content with your positioning there and there are some large projects that could be booked in 2010. Can you rank order some of the other end markets on where you could potentially see those opportunities?
Alan Boeckmann: Clearly, Oil & Gas has a number of opportunities. Again, I have said on the upstream side, mining is probably second in terms of number of prospects, and then infrastructure.
Joe Ritchie - Goldman Sachs: Could you give us an update on the refining market in the U.S. and you are completing the Garyville refinery this year. Earlier this year, there was the other marathon, Detroit refinery was pushed out into 2010. Is it still likely that that project goes forward in 2010, or what's an update on that project?
Alan Boeckmann: I think that's very likely. It is going forward, we are completing Garyville as you said. We are pretty confident Detroit is going to keep on going.
Operator: We'll go next to Andrea Wirth with Robert Baird.
Andrea Wirth - Robert Baird: Could you comment a little bit on the infrastructure market, particularly on the transportation side. It does sound like at least the PPP market is still moving a little slow, what you are seeing related to federal funding, on the safety side. It looks like we just got another couple extensions here, wondering if that's having any major impact on the timing of projects going forward?
Alan Boeckmann: Our infrastructure group depends a lot on doing our own development. We do bid on projects, where we have a limited slate and an opportunity to add value. The one's that we are looking at in Q4, one of them is a bid project and the other one is a develop project. We frankly haven't seen any real stimulus funding coming into that size of an infrastructure project, as yet. Most of the stimulus funding went out and was parceled out on very small roadworks that went to local contractors. So, I don't think any of us that play in the big project game have seen the benefit of those dollars.
Andrea Wirth - Robert Baird: Then on the nuclear front, just curious if you see any potential benefits from some of the recent stumbles that Westinghouse has seen in its certification of the AP1000, and any potential there for some of the utilities to look at different technologies, and then the potential for Fluor to have a little more piece of the pie in terms of the build out of new nuclear?
Alan Boeckmann: I like to think we've got a great position going into nuclear, particularly with respect to our ability to manage large projects, have a balance sheet that can stand up to the liabilities, and we are working with Toshiba on their ABWR technologies and I hope to be able to do that. I think, as it goes forward, you'll find us engaged in a number of nuclear opportunities. That odd market is probably going to be a bit delayed from what people have been expecting but I think it will be 2011, 2012, happening for most companies that are able to play in it.
Andrea Wirth - Robert Baird: Got it. Then just one last on the corporate expense line, it was a little higher due to FX. Should we expect that that roughly $50 million range to continue and be that run-rate for now or does that reverse?
Mike Steuert: We could see it slightly higher in the fourth quarter. We traditionally have a higher corporate expense in the fourth quarter as we make a number of decisions in terms of discretionary spending. So, seasonally, it will be a little bit up.
Operator: We have a follow-up question from Barry Bannister from Stifel Nicolaus.
Barry Bannister - Stifel Nicolaus: If I could ask, Mike to walk through a couple of mechanics, it sounded like there was $115 million of claim overruns and that's going to go into contracts in excess, is that right on Greater Gabbard?
Mike Steuert: Yes, that will. We took some funding out for Connect in that perspective last quarter, but this will go into claim revenue.
Barry Bannister - Stifel Nicolaus: So, if you're halfway through a $1.5 billion LSTK project, then over the next five quarters you would recognize perhaps the other $750 million of revenue, but then did I hear you correctly in saying that there would be claim revenue each of the quarters associated with this project's overruns and did you say they would be $100 million, in that range?
Alan Boeckmann: We didn't say how much they would be, Barry. There will be ongoing claim revenue because of the actions that have been taken by our client outside of the specification. There are cost that are going to mount up every quarter.
Mike Steuert: Right. We said it will grow significantly but we didn't give a number.
Barry Bannister - Stifel Nicolaus: So that is sort of like the old San Diego freeway job where that will sit in contracts in excess until it is resolved and it will be a use of cash in the form of a receivable?
Mike Steuert: That's correct.
Barry Bannister - Stifel Nicolaus: Then what was the tax rate for the fourth quarter or what will the full year be, because it jumped around this quarter on some tax credits? Then in '09, are we looking at the same tax rate we were using of around 37? Or is it something materially different?
Mike Steuert: It is kind of hard to forecast tax rates on a quarter-to-quarter basis. I still think we're probably looking at what we've seen for the nine month total being fairly accurate for the total year. Right now, I don't see any reason why 2010 should be much different than 2009.
Barry Bannister - Stifel Nicolaus: So there is no carryover tax benefit from the write-off of a domestic job in Louisiana that might impact your U.S. rate, and bringing that down, therefore your total rate would benefit in 2010?
Mike Steuert: No, there is not.
Operator: We will go next to John Rogers with D. A. Davidson.
John Rogers - D. A. Davidson: Just to go back to the Power segment for a second. What do you expect is going to happen over the next couple of years if nuclear projects are pushed out further than we think, and coal projects continue to be stymied by the environmental regulations? Do we see a big uptick in Power projects or what are your customers telling you.
Alan Boeckmann: John, there is a number of factors that all play into how that is going to unfold. One we've already talked about being whether or not the cap-and-trade legislation gets passed. The second is, whether or not we have an economic recovery. Reserve margins have improved based on the economy. So, there is less of a demand for coming out with new generation in the interim. If that starts picking up and we still have uncertainty, I think you're going to start to see a lot more gas-fired projects. We already have some of those that we're working on and we've already booked some this year. That's likely what will happen. However, right now my guess is, we're not going to see a lot of additional demand in the next 12 months or so.
Operator: We have time for one final question from Mark Levin with Davenport.
Mark Levin - Davenport: I'm sorry you may have already asked and answered this but, Alan, if you could talk to maybe what are the key factors that would drive you towards the high end of 2010 guidance versus the key factors that would drive you towards the low end?
Alan Boeckmann: Good early bookings, particularly in Q1, a rapid release in early 2010 of our LOGCAP work in Afghanistan and if there was, in fact, an expedited adjudication on Gabbard, those would all drivers us up to the top end?
Operator: That does conclude the question-and-answer portion of today's call. I'd like to turn the call back over to management for any additional or closing remarks.
Alan Boeckmann: Thank you, operator. I would like to thank all of you for participating on our call today. As we have discussed throughout this call, our earnings in 2009 continue to be relatively strong with year-to-date earnings and earnings per share increasing over 2008, when, in fact, you take into account the equity sale last year on Greater Gabbard. Strong new awards in 2008 and in the first half of 2009 have been a factor in contributing to where we are in a very strong $28 billion backlog. It's allowed us to maintain our selectivity and our discipline while we pursue new prospects. For 2010, we do feel it is appropriate to take a cautious view of our markets at this time, but we remain hopeful that a broader economic recovery will develop during the year. We look forward to updating you on your next call. Thank you so much for your interest in Fluor and we appreciate your confidence in our company. Have a good day.
Operator: That does conclude today's conference. We thank you for your participation.